Operator: Good morning, and welcome to Hydro's Q4 2022 Presentation and Conference Call. We will start off with a presentation by our CFO, Pål Kildemo, followed by a Q&A session. Note that you will need to be dialed into the conference call in order to ask questions after the presentation. With that, I turn the microphone over to you, Pål.
Pål Kildemo: Good morning, and welcome from me as well. It's a pleasure to share both our fourth quarter and full-year results with you today. And I would like to start with the key highlights from the quarter. Let's turn to Slide 2. For Q4, we reported an EBITDA of NOK 7.2 billion. Strong results on the back of strong aluminum markets, but down from the third quarter on lower upstream prices and higher costs. As uncertainty has increased and demand weakened in the fourth quarter, we have had strong focus on cash release and margin management with a free cash flow coming in at NOK 5.8 billion. For the full-year, we are very pleased to report a second consecutive year of record results with an adjusted EBITDA of NOK 39.7 billion, which is 42% increase from 2021. The higher realized all-in metal and alumina prices, record high results in both Extrusions and Energy, highly influence the full-year results. These factors were offset by higher fixed and raw material costs upstream. We are also pleased to report a full-year adjusted RoaCE of 22%, over double of our overall profitability goal of 10% over the time. We have also delivered NOK 0.3 billion above the improvement target for 2022 of accumulated NOK 7.5 billion. Positive traction for greener products, improved product mix, higher margins, and market share growth resulted in the delivery of NOK 1.8 billion in accumulated commercial ambitions, also above what we were expecting for the year as a whole. At our Capital Markets Day in December, we went through a realistic pathway to near zero aluminum products, and how we are working to increase our portfolio of low carbon aluminum products selling at an increasing speed. Since then, we have progressed on that roadmap, taking the final investment decision on two additional el boilers at Alunorte alumina refinery in Brazil, which together with the LNG fuel switch project and the existing el boiler would allow Alunorte to reduce 1 million tonnes of CO2 emissions per year, supporting Alunorte's ambition to reach the first decile of the refinery carbon emission curve by 2025. On the back of these strong financials, the Board will propose a cash dividend distribution of 53% of adjusted net income from continuing operations to Hydro shareholders amounting to NOK 11.5 billion or NOK 5.65 per share. A new NOK 2 billion share buyback program will also be proposed, which results in a total distribution of around 62%, in line with our 50% to 70% guidance at our Capital Markets Day in December. Let's then move to Slide 3. At the end of 2022, there was high uncertainty for 2023 aluminum demand. As the war in Ukraine, the energy crisis in Europe, high inflation, and China's zero-COVID policy was impacting economic growth. Several of these factors are still much at play. However, the start of 2023 and development in demand has been more on the positive side compared to our internal expectations in Q4. And we also see that for the industry in general, resulting in forecast of GDP growth for '23 being adjusted up to around 3%. One of the larger contributing positive factors, at least to the market sentiment, is the reopening of the Chinese economy following the abolishment of zero-COVID policies and also additional governmental stimulus. In addition, and our more optimistic view on the broader macro picture in the Western world contributes positive. The demand developments together with curtailments of both aluminum and alumina capacity, inside and outside China has driven up the alumina and all-in aluminum price through the fourth quarter and further increasing in the start of 2023 with the LME price sitting at around $2,500 and the alumina price at around $365 with Atlantic premium on top in our region. So far, the positive sentiment regarding Chinese reopening is based on expectations of strengthening demand and a tightening balance. And we still need to see the physical figures supporting this in the months to come. When accounting for all moving parts just mentioned, where as we move to Slide 4, we still expect largely balanced markets for '23, slightly tighter than our last update at Capital Markets Day. Even though energy prices have come down in general, there are still power driven curtailments with the majority of the recent ones taking place in China around 1.3 million tonnes, mainly in the Yunnan region, with another 600,000 tonnes at immediate risk. In Europe, gas and electricity prices have decreased significantly since Q3, but are still expected to be too high for widespread unsubsidized smelter restocks. While energy prices have fallen, so have many product premiums, partly offsetting the relief on the cost side. Overall, margins however improved significantly as energy costs have plummeted. However, they are still at a level where an average German spot-based smelter margin does not look attractive to produce aluminum. So according to CRU's cost model, around 600,000 tonnes is still at high risk of curtailment, especially if we see a new upswing in power prices, and around 400,000 tonnes is at medium or high risk of curtailment at higher power prices. On the other side, we have seen smaller restarts, enabled by governmental support, which of course, can make the total margin picture more attractive. Let's then move to Slide 5. If we move from the development in European energy to the Nordic markets, then the system price was down in Q4 '22, in line with a weaker European price development following lower production costs in coal and gas power plants and mild weather. The risk of Norwegian rationing is no longer present as the Nordic hydrological balance has improved, however, still remains below normal levels. Northern Scandinavia has managed to reduce the price gap towards Southern Scandinavia, mainly due to higher consumption as weather turns colder in combination with increased control with the hydrology. This Northern Scandinavia will remain systematically oversupplied in the coming years and should continue to price below the South if we assume normal market fundamentals. Let's move to Slide 6. When accounting for all moving parts just mentioned, we still expect largely balanced markets. Let's finish the market section by moving downstream, where in Q4, Hydro Extrusions saw a 12% decrease in sales volumes compared to Q4 '21. European demand for extrusions in the fourth quarter of '22 is estimated to have decreased 16% compared to the same quarter last year and 9% compared to the third quarter of '22, partly driven by seasonality. Demand for the industrial and the building and construction segments have continued to weaken into the fourth quarter, while growth in automotive demand is improving as supply chain issues are easing. Home subsegments, such as renewables, including solar, is also showing robust growth. North American Extrusion demand is estimated to have decreased 8% during the fourth quarter of '22 compared to the same quarter last year and decreasing 14% compared to the third quarter of '22. Demand is moderating in the building and construction sector amid softening housing market indicators, while the automotive segment is improving as vehicle production is picking up. CRU estimates that European and North American demand for extruded products will decrease 18% and 5%, respectively, for the first quarter of '23. And we expect largely similar developments in our Extrusion business with a relatively worse performance in North America. Let's then move to Slide 7. At our recent Capital Markets Day in December, we gave a detailed strategic update, and we are delivering accordingly. On strengthening our position in low-carbon aluminum, two of the most significant achievements in the fourth quarter was firstly the first sales of our Hydro CIRCAL 100R, which is recycled aluminum based on 100% post-consumer scrap sold to the development of the very modern Heidelberg Innovation Park in Germany. And secondly, the first partnership in a line of many with Mercedes-Benz to partner on the Road to Zero, delivering our first spearhead low-carbon REDUXA 3.0 product to them already in 2023, to be used in their EQ line. This is the central part of our future value creation ambitions going forward. And all the developments across the organization contribute to the end results of increasing sales of low-carbon aluminum at premium pricing. This is the red thread to everything that we do. The end customer cares about the carbon footprint, which this quarter has been further supported by the new el boilers in Alunorte mentioned earlier. But like us, they also increasingly care about our broader environmental footprint. We are, therefore, pleased to have invested into a pilot plan for extracting metals from bauxite residue to reduce the need for potential residue deposit areas in the future, saving both CapEx and the environment, together with a company called Wave Aluminum. Together we will build a pilot plant at Alunorte to process 50,000 tonnes of bauxite residue per year, and the plant is expected to be in operations by 2024. The project can potentially be expanded to process 2 million to 4 million tonnes of bauxite residue per year, and that will support Hydro's target of achieving 10% utilization of bauxite residue generation by 2030, and eliminating the need for new permanent storage of bauxite residue by '25. On the second pillar, the transition to a low-carbon society also provides opportunities for Hydro's new energy areas. In the fourth quarter, Hydro, Eviny and Zephyr announced the partnership to explore an onshore wind project located in the area between Høyanger and Sunnfjord in Norway. The renewable power will be used by existing industry and enable new industrial development in the region. For Rein, the process to raise capital is still ongoing. In the fourth quarter, Hydro Havrand also announced a 5-megawatt green hydrogen pilot project at Hydro's Høyanger smelter in Norway; and Hydro Havrand is maturing the project, which is pending funding support from Enova. Let's then move to Slide 8. Strengthening our position in low-carbon aluminum starts with having a robust position on the cost curve. And we have a long track record of establishing and delivering on target improvement program in Hydro. And throughout these years, it has always been very important to ensure that the improvement can be tracked back to the bottom-line. Our current program was initiated in 2019 with a baseline in 2018, when our adjusted EBITDA, excluding Hydro Rolling, amounted to NOK 15 billion. Since 2018, we have had a positive impact from favorable market conditions with around NOK 30 billion impact from higher sales prices as well as currency, only partly offset by NOK 15.4 billion in higher raw material costs. Downstream volumes, margins and energy price and volume contributed with another NOK 6.9 billion. And we then have NOK 4.6 billion in increased fixed costs, partly driven by inflation, in addition to NOK 1.8 billion in negative other effects like corporate costs, B&A ship unloader outage, and accounting effects related to the Røldal-Suldal Power DA restructuring. Without our improvement efforts, our EBITDA today would have been NOK 30 billion. For the adding NOK 9.6 billion from the improvement program and commercial ambition brings it to NOK 39.7 billion. And we still have NOK 4.4 billion to deliver in the years to come, which you should expect to contribute to our bottom-line in the same way going forward. Our key value lever is to continue to position the company to capture value from growing demand for greener and circular aluminum. Greener aluminum with a lower carbon footprint is an important enabler for the green transition, and the demand for aluminum towards 2030 in Hydro's main market is set to grow at 3% per year, but low carbon aluminum demand is expected to outpace the rest of the market with a current estimate of 20% compound annual growth rate from 2022 to 2030. For the full-year of '22, we have increased sales of greener products with 180,000 tonnes, a 25% increase for CIRCAL and a 70% increase for the REDUXA. Going forward, we have the ambition to at least increase the sales by another 280,000 tonnes by 2025, but with increased capacity if we are able to continue to exceed our targets. And as we continue to reduce the footprint of the product, the value effects will increase as the last tonnes of low-carbon products come at a much higher premium. Slide 10, please. Then let's dive into the detailed results and start with the development from Q3 to Q4. Adjusted EBITDA for the fourth quarter was down NOK 2.5 billion compared to the third quarter. The main negative drivers were NOK 2.3 billion in 6% lower realized alumina prices, 14% lower all-in aluminum prices, NOK 0.6 billion on lower downstream volumes, NOK 0.7 billion on higher fixed costs, mainly driven by seasonality, inflation and one-offs, around one-third each, and NOK 0.6 billion in other effects, mainly lower positive eliminations and higher corporate costs. Q3 was also positively impacted by NOK 1.3 billion related to a revision of prior period CO2 compensation and NOK 550 million in current compensation, which remained stable into Q4. This was partly offset by higher downstream margins of NOK 0.4 billion, higher energy prices and volume of NOK 1.3 billion, and NOK 1.3 billion in net effects of power sales, which includes the loss on energy's buyback from aluminum metal of NOK 250 million. Slide 11. If we then move to the key financials for the quarter. The year-over-year revenues decreased by about 5% to NOK 44.1 billion for the fourth quarter. Compared to the third quarter, the decrease was 18%, mainly on lower realized prices and volume. For the quarter, there was around NOK 3.3 billion negative effect adjusted out of EBITDA, which includes negative unrealized effects on LME and the raw material contracts, some smaller rationalization costs in Extrusion, and a positive currency gain, offset by other effects, resulting in a reported EBITDA of NOK 3.9 billion. Moving on, we have adjusted depreciation and amortization of around NOK 2.2 billion in the quarter, resulting in an adjusted EBIT of NOK 4.9 billion. Financial income of NOK 271 million for the fourth quarter includes NOK 356 million in ForEx gain, primarily reflecting a gain on euro-embedded energy derivatives on the back of tightened euro-NOK interest differential. Then we have a large income tax expense for the quarter amounting to NOK 1.5 billion, about 91% of income before tax. This is mainly due to the reassessment of recoverability of deferred tax assets in bauxite alumina resulting in a net charge of about NOK 1.4 billion related to tax losses carried forward. This was partly offset by the legal restructuring of the associate Lyse Kraft DA, resulting in lower power surtax of around NOK 550 million. Overall, this provides a net income from continuing operations of NOK 158 million, down from NOK 8.5 billion in the same quarter last year and NOK 6.7 billion in the third quarter. Adjusted net income was NOK 2.4 billion compared to NOK 5.8 billion last year and NOK 6.3 billion in the third quarter. And consequently, adjusted earnings per share was NOK 0.99, down from NOK 2.57 in Q4 last year and NOK 2.91 in Q3. Let's then move into the business areas, starting with Bauxite & Alumina. Moving to Slide 12. Adjusted EBITDA for Bauxite & Alumina decreased significantly from NOK 2.4 billion in Q4 '21 to NOK 101 million in Q4 '22. This is mainly driven by lower alumina sales prices and higher caustic and energy prices. This was partly offset by positive currency effects. In addition, the fourth quarter 2021 included insurance compensation of around NOK 498 million related to a decommissioned crane. Compared to the third quarter of 2022, the adjusted EBITDA also saw a decrease, mainly driven by $22 realized lower alumina sales prices and higher raw material costs of around NOK 150 million, mainly driven by caustic soda, which is lower than our guidance from last quarter of around NOK 250 million to NOK 300 million, primarily due to the lower energy prices than what we expected then. For the first quarter, Alunorte is expected to remain around nameplate capacity. We expect higher realized alumina prices than realized in the third quarter based on current market conditions and timeline profile, and we also expect continued lower raw material costs around NOK 100 million to NOK 150 million for lower coal and fuel oil prices. And finally, we expect around NOK 100 million in higher fixed costs, mainly non-recoverable. Let's move to Slide 13. Moving on to Aluminum Metal. In this quarter, adjusted EBITDA increased from NOK 4.7 billion in Q4 '21 to NOK 4.8 billion in Q4 '22. The results improved slightly, mainly due to positive contribution from power sales and positive currency effects, partly offset by lower all-in metal prices, lower sales volumes, and higher raw material costs and fixed costs. In the fourth quarter, Aluminum Metal completed the curtailment of 130,000 tonnes of primary aluminum production at Husnes and Karmøy in response to reduced market demand for aluminum billets in Europe. The power sales for the quarter amounted to NOK 2.2 billion, where NOK 1.4 billion from Slovalco and NOK 0.8 billion came from Husnes and Karmøy. Compared to the third quarter of '22, adjusted EBITDA for aluminum metal decreased from NOK 6.5 billion due to lower all-in metal prices, higher fixed costs of around NOK 300 million, partly seasonal, partly inflation, and partly one-off, and lower CO2 compensation as Q3 included a positive NOK 1.3 billion related to a revision of previous period CO2 compensation. This was partly offset by NOK 400 million lower raw material costs driven by alumina and energy, and partly offset by higher carbon costs. But in total, it is in line with last quarter's guidance of around NOK 400 million to NOK 500 million. For Q1, 75% of primary production is priced at $2,239 per metric tonne, plus 40% of premiums effect in Q1 are booked at $643 per tonne. And in total, Q1 realized premium is expected to be in the range of $475 to $525 per tonne. Compared to the fourth quarter, we expect lower volumes driven by the curtailment at Husnes and Karmøy. And we also expect lower raw material costs of around NOK 400 million to NOK 500 million, mainly energy and carbon. Fixed costs are also expected to decrease around NOK 200 million to NOK 300 million. When it comes to CO2 compensations for 2023, then the reference price based on 2022 prices has increased, representing an upside from the current NOK 550 million of quarterly compensation that we received today, and we estimate that CO2 compensation will be around NOK 800 million to NOK 900 million per quarter, which is somewhat down from previous estimates due to the curtailed volumes at Karmøy and Husnes. We also expect lower results on power sales in Q1 versus Q4, driven by Slovalco, as the last power was sold in Q4. For Karmøy and Husnes, however, we expect the higher results, driven by higher lock in price towards energy and higher curtailment volume. In total, we expect a net power sales effect of around NOK 900 million negative. Let's then move to Slide 14. Adjusted EBITDA for metal markets decreased in the fourth quarter from NOK 284 million in Q4 '21 to negative NOK 91 million due to lower results from the sourcing and trading activities and negative currency and inventory valuation effects, partly offset by increased results from the Rein factors. The large negative currency effects are driven by NOK 150 million in translation effects due to stronger NOK as the operational currency is different from the reporting curve. And the other NOK 100 million in transaction effect is due to a stronger euro towards the dollar as customer pricing in different currencies than operational currency in which the margin is optimized. The lower commercial results are mainly driven by an inventory impairment of around NOK 100 million, which will be reversed next quarter, and also large decreases in ingot premiums. Excluding the currency and inventory valuation effects, the result for the quarter was NOK 160 million, down from NOK 350 million in Q4 '21 on commercial results. But remember that this includes NOK 100 million that we will get back in the next quarter. Looking into the next quarter, as always, remember that trading results and currency effects in metal markets are by nature volatile. However, based on the current market, we expect lower recycling margins, but seasonally higher production in Europe. In addition, we expect a reversal of the inventory impairment and potentially significant reevaluation reversal effects if the market stays as of now. At current prices, we expect full-year results in Metal Markets, excluding FX and inventory effects, to be around NOK 1 billion. Let's move then to Slide 15. Adjusted EBITDA for the fourth quarter increased compared to the same quarter last year. Increased results from the recyclers, driven by increased sales premiums, were partly offset by lower sales volumes and higher fixed and variable costs. Despite weaker market, Extrusion strengthened margins on a favorable product mix. In addition, results for the fourth quarter of '21 were negatively impacted by non-recurring costs of NOK 330 million related to the scrapping of assets. If adjusting for this one-off, results were fairly flat from Q4 '21. Compared to the third quarter of '22, the adjusted EBITDA decreased due to seasonally lower sales volumes, higher fixed and variable costs, and reduced demand, but partly offset by strong contributions from strategic segments in Extrusions. If we look into the first quarter, we expect continued strong margin levels in Extrusions, but offset by lower recycling volumes and premiums and higher fixed and variable costs. We expect continued market uncertainty and a softening of the Extrusion market in Europe and North America, which will result in lower sales volumes. Let's then move to Slide 16. The final business area is energy, where the adjusted EBITDA decreased from NOK 1.7 billion in Q4 '21 to NOK 1.5 billion in Q4 '22. The loss on an internal fixed price contract entered into early October with Aluminum Metal to sell the power from their smelter curtailments into the market, accounted for around negative NOK 250 million in Q4. In addition, lower production and lower gain on price area differences negatively impacted the results. Higher prices partly offset the lower results. Compared to the third quarter, adjusted EBITDA increased as a result of higher production and around NOK 450 million lower tax costs in the equity accounted investment company, Lyse Kraft DA, partly offset by lower gains on price area differences, lower gains from participation in physical balancing markets, and the loss on the internal fixed price contract. If we look into Q1, the price and volume uncertainty is as always large, and production and prices will depend on hydrological conditions. However, we do see the hydrological balance in the Nordics improving, but still remaining below normal levels. Based on the current outlook, we expect lower gains from the NO2, NO3 spread differential. And at current spot prices, the estimated negative delta is around NOK 400 million. In addition, we expect a significant increase in losses on the Aluminum Metal buyback contract versus fourth quarter as the average locked in price towards Aluminum Metal is around NOK 3,600 per megawatt hour or around 389 gigawatt hours, and the current estimated NO2 price for Q1 is around NOK 1,106. We have partly hedged this. However, the estimated positive effect on the hedge at the above market prices is around NOK 180 million. We have 319 gigawatt hour hedged at €123, but this is the system price and not the NO2 price. Let's then move to Slide 17. If we dive into the development in net debt, we see a picture which turns to net cash during the quarter. Based on the starting point of NOK 3.1 billion in net debt from Q3, our overall net position improved by NOK 4.4 billion quarter-on-quarter to NOK 1.3 billion in net cash based on the following. Firstly, we generated NOK 7.2 billion in adjusted EBITDA. Then net operating capital decreased by NOK 2.6 billion, and I will get back to the details here on the next slide. And then we had other operating cash flow adjustments amounting to NOK 0.2 billion, mainly driven by NOK 1.1 billion of dividend received from Catalan and NOK 0.4 billion increased accruals, partly offset by taxes paid of NOK 1.1 billion. Net investments were NOK 4.2 billion for the quarter, quite in line with our expectations. And as a result, we generated free cash flow from operations of a positive NOK 5.8 billion in Q4. In addition, we bought back shares of around NOK 0.6 billion as part of our NOK 2 billion mandate. And finally, we have a negative NOK 0.7 billion in other, mainly coming from currency effects on debt and cash, which represented a net NOK 0.3 billion increase, offset by NOK 0.5 billion in new leases and NOK 0.5 billion from other effects. If we move on to adjusted net debt, let me start by adjusting for the NOK 2.6 billion in collateral included in debt per Q4, mainly related to strategic and operational hedging positions, and NOK 1.3 billion increase since the last quarter due to higher LME. The next adjustment of negative NOK 4.5 billion reflects, among others, asset retirement obligations as well as assets in Hydro's captive insurance company that are not available to service Hydro debt. Then we have a small pension liability of NOK 0.3 billion, which has increased NOK 1.2 billion from last quarter assets of falling interest rates on the curve. With these adjustments, we end up with an adjusted net debt position of NOK 6 billion at the end of the fourth quarter. Let's then move to Slide 18. We have an exciting investment portfolio for '23 and the following years to deliver on our strategic ambitions, and we are working structured to ensure that we are freeing our cash from operating capital to support it. For 2020 -- for the fourth quarter, we reduced operating capital of NOK 2.6 billion, mainly driven by NOK 0.3 billion in lower inventory levels, NOK 1.9 billion in lower trade receivables and payables, and NOK 1.7 billion in received CO2 compensation. This is partly offset by an additional approval for CO2 compensation and also release or reversal of other payable accruals. We have worked targeted to reduce working capital this quarter, especially given the high market uncertainty. And for our Extrusion operations, we have released inventories above target despite sharply falling demand. However, we are releasing NOK 2.6 billion compared to our guiding of NOK 5 billion in Q3. And the main reasons for this are quite straightforward. Firstly, we have around NOK 1.7 billion in receivables related to power sales at Slovalco, insurance and taxes that we were expecting in Q4 that are delayed into Q1, and the majority of that has now already been received, which lifts the total figure to NOK 4.3 billion. Secondly, there is a slight price effect, and there are also some minor volumes and other effects. If we then look at our total guided release of around NOK 8 billion for Q4 and 2023 communicated at our Capital Markets Day, then we estimate that the corresponding figure now is right below NOK 6 billion with around NOK 4 billion remaining in 2023. The main reason for the lower figure is the increase in prices for the products that we sell. On the CapEx side, the 2022 CapEx came in at NOK 11.5 billion, including Hydro Rein, and this is NOK 100 million below the guidance at Capital Markets Day in December. This NOK 100 million will be carried over into 2023, increasing the CapEx guidance for 2023 slightly to NOK 13.6 billion, excluding Hydro Rein. Let's then move to Slide 19. Strong cash generation and a robust balance sheet enables us to deliver on our ambition to deliver solid distributions to our shareholders, and we are happy to be able to continue this for 2023. At our Capital Markets Day, we guided for a total shareholder distribution of 50% to 70% of adjusted net income. This was based on our estimated adjusted net income for the year, and an ambition to distribute up to NOK 23 billion in adjusted net debt, reflecting high cycle earnings and holding back around NOK 3.5 billion to preserve cash for the committed M&A transactions, Hueck and Alumetal. In line with this, the Board of Directors has proposed a distribution to shareholders of NOK 13.5 billion, equal to around 62% of adjusted net income from continuing operations. The distribution will be split into an ordinary dividend of NOK 5.65 per share and a share buyback program of NOK 2 billion. The dividend alone represents a 53% cash distribution, a year-end yield of around 8% and a five-year average payout ratio of 78%. Please also remember that last year's payment reflected the proceeds from the Rolled Products side. As always, the final distribution for 2022 is subject to approval by the Annual General Meeting on May 10, 2023. Let's then move to the last slide. Let me then finish with an update on our capital return dashboard, summarizing our key financial targets and priorities. At the end of Q4, we ended at NOK 106 billion capital employed and delivered an underlying 12-month rolling RoaCE of 22%. We have delivered well above our target of 10% for the year as a whole. And we're looking at our balance sheet and the key ratio of adjusted net-debt/EBITDA and we are at a ratio of 0.2x, well within our goal of being below 2x over the cycle, supporting our proposed shareholder distribution of NOK 13.5 billion, following NOK 16.1 billion in distribution for '21 or around NOK 30 billion in total distribution for the two years combined. In Q4, we also saw a continued strong free cash flow of NOK 5.8 billion, bringing our overall free cash flow for the year to NOK 14 billion, despite a build in net operating capital of NOK 8.8 billion over the same period, mainly driven by higher volumes, prices, receivables on CO2 compensations, and receivables on power sales. Improvements were realized by year-end 2022 amounting to NOK 9.6 billion, well above target, strengthening our position in low-carbon aluminum. And finally, we allocated capital in line with our strategic modes and spent NOK 11.5 billion, including NOK 1.2 billion in Hydro Rein. And on that note, I would like to thank you all for joining the presentation and open up the session for questions. Thank you.
Line Haugetraa: Thank you very much, Pål. We will then start the Q&A. Please note that you will need to be dialed into the conference call in order to ask questions. It will not be possible to ask questions over the webcast. Operator, we are then ready for questions. Thank you.
Operator: Sure. Thank you. [Operator Instructions] We will take the first question from the line of Daniel Major from UBS. The line is open now. Please go ahead.
Daniel Major: Hi, thanks for the presentation. Can you hear me, okay?
Pål Kildemo: Yes.
Daniel Major: Great, thanks. Yes, a couple of questions. The first one with respect to the curtailed capacity in Southern Norway. Demand outlook seems to be stabilizing and improving. The opportunity cost of selling power is not as high as it was. What's your plan for restarting that capacity?
Pål Kildemo: Thank you, Dan. Well, as it stands today, it's correct that the market is looking a bit better than what we expected coming out of Q4, and the alternative value for power is also lower. But as you know, these curtailments are purely driven by the end market demand. And as we see it now, coming into the year, there is still uncertainty. And we will have to monitor the market development going forward before potentially announcing restart of these two facilities again.
Daniel Major: Okay, thanks. Yes, second question. Looking at your commercial ambitions target, you've achieved NOK 1.8 billion, but you're only targeting about NOK 1.2 billion out to 2027. Is that a conservative estimate? And does that all come through green premiums? I thought perhaps there might be more potential upside there, particularly considering the potential loss of Russian volumes in the green aluminum space. If you could put a few more details on that?
Pål Kildemo: Yes. Well, as you know, Dan, we have a history of strengthening improvement programs as we identify more potential. This is what we saw when we did the Capital Markets Day process that we have quite high certainty about. And then the more contracts we are able to sign with customers for strengthening greener premiums, then the more this will increase going forward. So this is what we know today and not expectations of things to come that would come on top.
Daniel Major: Very clear, thanks. And if I could just squeeze one more in, if I could. Just on the Rein outlook. And just a little bit of clarity on what the remaining CapEx is, including all of the projects that are under construction effectively? Thanks.
Pål Kildemo: Yes. On Rein, as I mentioned, we are still working to raise capital. And as you know, since the IPO markets are not very active, the private track looks to be the more attractive. And we will spend the time it takes to ensure that we get the value we believe this portfolio has. So this is still ongoing as it was at the Capital Markets Day. When it comes to CapEx for the year, the estimate is NOK 2.5 billion without a raise. And then there are some NOK 100 million into the next year, also based on the current portfolio that we have.
Daniel Major: Okay, thanks.
Pål Kildemo: Thank you, Dan.
Operator: Thank you. We will take the next question from the line of Ioannis Masvoulas from Morgan Stanley. Please go ahead.
Ioannis Masvoulas: Yes, good morning to all. Thanks for the presentation. A couple of questions from my side. The first on the CO2 compensation. Can you give us an update here, has the Norwegian fiscal budget been ratified by parliament? And a question here is more so around local media flagging some concerns about the quantum of concession in the years to come. Do you see any risks around that policy going forward? Or are you fairly confident that the guidance you gave us earlier this morning will be sustained and only driven by the CO2 price and not any scope changes? Thank you.
Pål Kildemo: Well, as we see it to date, based on the process that was undertaken before Christmas, based on external communication and the like from central authorities also, this is what we should expect going forward. We have no reason to believe that this should be different. As we have discussed earlier, there is a focus on the CO2 compensation element in the current market environment, but there's also a broad understanding of why the CO2 compensation element is put in place. This is to ensure that there is a balanced playing field between us and non-European producers, which are not subject to the same carbon costs. And to maintain production in Europe going forward, as we await CBAM gradually rolling in from 2026 and the years beyond that, the CO2 compensation is the best way to ensure further level playing field. This is the message that is communicated from authorities, and that is the background for the conversation that we have. So no view from our side that this should be different going forward.
Ioannis Masvoulas: That's very clear. Thank you very much. And the second question, going back to Daniel's point around the capacity restart. Because you have got capacity across electrolysis, gas house, and recycling. So my question here is which facilities could offer the best economics for a possible restart? And is it fair to assume that the electrolysis capacity will be the last to come online?
Pål Kildemo: Well, there's several elements to take into account here. And of course, it's easier to swing up and down with the casthouses and the remelters where possible. So in order to restart the smelters, you should have better insight and more clarity as towards the strength in the market continuing into the year. So short-term fluctuations, we take on the remelter side, but if we gain sufficient comfort in the strength that we are seeing so far subsiding further in the year, then the smelters would be next.
Ioannis Masvoulas: Perfect, thank you very much.
Pål Kildemo: Thank you.
Operator: Thank you. We will take the next question from the line of Liam Fitzpatrick from DB. The line is open now. Please go ahead.
Liam Fitzpatrick: Thank you. Hi, Pål, three questions from my side. First of all, just on Extrusions. I know you're giving us the CRU view in terms of the rollout of demand this year. But can you give us some color in terms of what you're seeing in Europe in particular? Do you think the destock has pretty much played out at this point? And linked to that, I can see your premium guidance is down for Q1 based on the contract lags. In terms of where premiums are at the moment, would you expect premiums to start to go back up in terms of what you realized, from Q2 onwards? That's the first question. The second one on Rein, I guess a follow-up. Can you give a little bit more color perhaps in terms of timing, is your plan still to try and get a private stake sale done this year? And then the third one, apologies if I missed this. Could you just walk us through what you said the delta would be in terms of the Aluminum Metal power gains Q4 and Q1? And then similarly for the power division, I think you said that the loss on those contracts would increase. Can you actually give us a number for Q1? Thank you.
Pål Kildemo: Thank you, Liam. So if we start with the Extrusions, which is the most rewarding part of this to talk about. Extrusion volumes that we see into the first quarter are quite similar to CRU's expectations. We're maybe expecting a bit lower in North America, but more in line on the European side. And this is still driven by the same sector of split, as we discussed earlier, strong automotive, strong into renewables, and then weaker building and construction. But when you look at what we expect going forward, you should also see that we are keeping margins up, falling to volumes. So the fourth quarter results had a negative volumetric effect of around NOK 0.6 billion, but we have a NOK 0.4 billion in positive margin effect in falling markets. So for us, it is important to continue to manage margins and also to ensure that we move as much volumes as possible into the strategic growth segment. So the outlook for Q1 has improved quite a bit over the latter quarters from our side based on what we expected internally. But this is mainly due to strength in margin in strategic growth segments and not so much on the volume side. We do think that the destocking has played out, and we're actually seeing it may be stronger on the primary aluminum side than on the Extrusion volumetric side as we currently speak. What we see so far into the first quarter when it comes to primary sales is stronger than what we expected only some months ago. And I think that reflects the fact that destock can take in place of and demand comes back as the world is not looking as bad as many people feared in November and December. On premium, good question, there's high volatility there, especially in light of the Midwest, and to some extent, European tampering of the premium movement. So we have a lower guidance for Q1. But if you were to take market prices on all premiums that we see now, that will be somewhat higher, probably around $550 per tonne mark. On your third question on Rein, we haven't set any given timeline. Of course, we have an intention to do it sooner rather than later. But as I mentioned, we will ensure that we spend the time in the capital raise process that we are in now to get the best possible value for Rein. So we don't restrict ourselves with the next month or quarter or so. We'd rather ensure that we get max value out of this. Then for Aluminum Metals, there are many moving parts, as you correctly referred to. And in Q4, we had strong effect from sales of power. And that was very much helped by Slovalco, which was the majority of it. But Karmøy and Husnes also contributed. Most -- or everything is locked in primary now with energy. If you look into Q1 compared to Q4, then the net effect will be NOK 900 million lower, and that's primarily because the Slovalco volume falls off, but some of the different prices on the volumes that we've locked in for Karmøy and Husnes. For energy, it's quite a complex picture because we have bought back the power. As I mentioned, quite high price levels for Q1, which was the market rate at the time. And then they haven't been able to hedge a lot of that on the NO2 market. So we have NOK 3,600 as locked in price for Q1. We have 389 gigawatt hours. And if you take NOK 3,600 minus the NOK 1,106, which is the market fuel price now, multiply that with 389 gigawatt hours, then you should get the negative effect of purely the power side. I also said that we have hedged some of this using mostly system price, NO2, which, of course, sits at a lower level. So you don't get the same positive benefit, and we have around NOK 180 million, which offsets that with other market groups today.
Liam Fitzpatrick: Okay. Thank you, Pål. That was all very clear. If I could do one very quick follow-up just on Rein. Maybe if you could just remind us, I think you shared at the CMD that until you get a partner or some sort of capital injection, you're not going to bring forward additional projects over and above what have already been kind of approved and where you're starting building. Is that still the case and still the approach?
Pål Kildemo: What we said was that for this year, we have the four projects that we have approved, and that is what is requiring the main CapEx spend. What we will be focusing on top of that is developing projects. So that's correct. You should not expect large decisions into projects outside of the development projects in this year while we work on the capital raise.
Liam Fitzpatrick: Understood, thank you.
Pål Kildemo: Thank you.
Operator: Thank you. There's no further questions at this time.
Line Haugetraa: Great. Thank you very much, operator, and thank you all for joining us today. And please don't hesitate to contact us in Investor Relations if you have any further questions. Wish you all a great day. Thank you.